Operator: Good day, ladies and gentlemen and welcome to the Allegion Fourth Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer-session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Tom Martineau, Director, Investor Relations. Please begin.
Tom Martineau: Thank you, Latoya. Good morning, welcome and thank for joining us for the fourth quarter 2014 Allegion earnings call. With me today is Dave Petratis, Chairman, President and Chief Executive Officer; and Patrick Shannon, Senior Vice President and Chief Financial Officer of Allegion. Our earnings release which was issued earlier this morning and the presentation which we will refer to you in today’s call are available on our Web site at www.allegion.com. This call will be recorded and archived on our Web site. Please go to Slide two. Statements made in today’s call that are not historical facts are considered forward-looking statements and are made pursuant to the Safe Harbor provisions of Federal Securities law. Please see our SEC filings for a description of some of the factors that may cause actual results to vary from anticipated results. The Company assumes no obligation to update these forward-looking statements. Our release and today’s commentary includes non-GAAP financial measures which exclude restructuring and spin expenses. Also included in these adjustments are the impacts related to a movement in measuring results in Venezuela from the official exchange rate of VEF6.3 per U.S. dollar to using the Venezuelan governments SICAD II exchange rate of VEF50 per U.S. dollar. We believe these adjustments reflect the underlying performance of the business when discussing operational results and comparing to the prior year periods. Please refer to the reconciliation in the financial tables of our press release and the quarterly information in the appendix of today’s presentation for further details. Also in the fourth quarter of 2014 the Company changed its method of accounting so that all inventory is now based on first-in first-out method from the last-in first-out method. The financial statements for all periods have been revised for this change and recapped quarterly data has been provided in the appendix of today's presentation. The impact of this adjustment was favorable by 1.3 million or $0.01 per diluted share for the year ended December 31, 2013. The impact to the year ended December 31, 2014 was favorable by 0.4 million. As a result our tax and inventory accounting are now on the same basis. And the Company achieves global consistency with one inventory accounting treatment. Please go to Slide 3, and I'll turn the call over to Dave.
Dave Petratis: Thanks Tom. Good morning to everyone and thank you for joining us today. Allegion posted another strong quarter of organic growth, operating leverage and cash flow generation. Revenues were 573 million up 5.5% on an adjusted basis versus last year and up 7.6% on an organic basis. The Americas region delivered strong organic growth of 8.4% with increases in all segments and the timing of large system integration projects drove organic growth of 17% in Asia-Pacific region. Organic revenues were relatively flat in Europe reflecting ongoing market softness. Adjusted operating income of 106 million increased 9% versus last year and adjusted operating margin increased 60 basis points for the company reflecting solid operating leverage on the incremental volume and improved pricing. Adjusted earnings per share of $0.76 increased 26.7% versus the prior year. Patrick will cover the details later. We're issuing our full year 2015 EPS guidance of $2.65 to $2.75 an increase of 12% to 17% compared to adjusted 2014 EPS excluding Venezuela. The guidance reflect overall organic revenue growth of 3% to 4%. Please go to Slide 4. Now that we've completed our first full year as a standalone public company I would like to take a moment to review our performance. First, it’s hard to appreciate the amount of effort it takes to standup a company. We’re truly fortunate to have a strong team at Allegion that embraces the change necessary, while ensuring we met our customer and shareholder commitments. And although you don’t see it as a metric on the slide, one of our core values is to be safe and healthy, which we focus on every single day of the year. We finished 2014 with a loss time incident rate of less than 1%, 26 locations with zero loss time days, 13 sites celebrated a million hour milestone without loss time incident and in our Bogota facility there was an 81% reduction in the number of injuries, resulting in zero life loss time days in our first full year of ownership. Allegion is one of the safest companies in the world, I’m extremely proud of this. It’s a true north metric of Allegion’s mass manufacturing excellence and the commitment to safety. Last year at this time I shared with you the 2014 financial goals of the company. We delivered revenue in the expected range, with some incremental volume covering lower than expected price. I’m pleased with the top-line performance of the business, given the challenging market environments and currency headwinds. Adjusted earnings per share came in at the high-end of our range and taking into account the realization of our lower effective tax rate, we exceeded the high-end of our original guidance by $0.09. Spin and restructuring expenses were within expected ranges and we over delivered on available cash flow. It was a solid first year for Allegion and I believe we are positioned well for 2015 and the long-term growth to deliver high shareholder returns. Please go to Slide 5. Globally we hit the ground running in 2014 to secure large project customer wins for the Allegion portfolio. This slide reflects a sampling of some of the project wins in 2014. We continued to leverage our strong institutional knowledge with project wins in education and healthcare. We’re proud to have outfitted both in elementary school and middle school in Shanghai, China with Schlage Locks as part of a safe campus initiative and to have our locks and accessories at the premier Stanford Medical Center in Fargo, North Dakota. It’s exciting to also note that Allegion is pioneering safety and security for world traveling facilities like Levi’s Stadium which is the new home of The San Francisco 49ers as well as notable hotels and office spaces alike. Please go to Slide 6. Of course our project wins are also highly reliant on our ability to innovate and in 2014 it was a year of significant innovation investment with Allegion’s emphasis on electromechanical conversions, we launched both ENGAGE Technology and Schlage Touch. With ENGAGE Technology, we’re changing the way commercial building owners and tenants think about the interior building access. ENGAGE is a connectivity platform that is easy to install, manage and use. Our Schlage NDE Series wireless locks with ENGAGE Technology can be installed in minutes with a screwdriver and allow users to manage electronic credentials with cloud-based Web and mobile apps. Schlage Touch was launched in October aligned with the keyless era we’ve been pioneering for homeowners, given the ability to unlock their doors using a stylish touch-screen pin pad. For residential we’ve really emphasized not just the strength of our locks, but the style and design. In 2014, we expanded our style options to offer more choices to our customers. We’re now offering more design in finished options that support both modern and traditional taste. Allegion also expanded style options for high-end non-residential and multi-family customers with the M Collection Series of levers for Schlage and Von Duprin. In our non-residential mechanical product lines we created more specialized applications for our customers, this includes the Von Duprin AX device, which was the first and currently only UL-certified exit device to meet the new California building code five pound operating force requirement and the Von Duprin Quiet electric latch for medical facilities where both patient and caregivers value an environment free of excessive noise from traditional exit operations. Please go to Slide 7. As you probably seen Allegion the recently launched Schlage Sense in January 2015 as an integral part of Schlage’s leadership position in the Internet-of-things as an innovate extension of the keyless era the residential lock comes with a mobile app that allows homeowners to manage it with their phones or with the locks’ touch-screen pin pad. Specifically, it’s designed to work with Apple’s HomeKit technology providing advanced security with end-to-end encryption and authentication between the Schlage Sense lock and iPhone and iPad and iTouch. HomeKit also lets consumers control their Schlage Sense lock with their voice using theory. The Schlage Sense system can manage up to 30 codes at the same time. Its app allows homeowners to create and delete access codes, check unlock status and view activity. Residents can also use the app to update settings and check battery life without connecting to an existing home automation system or pay a monthly subscription charge. Schlage Sense launched at the Consumer Electronics Show and had over 300 million impressions in one week. Major news outlets applauded the innovation, Wired named it one of the 11 hot products from the show, Fox News named it as one of their top-eight list of the most innovative products there and CNET praised the talk-to-unlock capability. With Schlage Sense we're continuing to generate positive coverage for Allegion and expect the product to be available for our customers later this year. To help stay on the forefront of innovation and the growth of the Internet-of-things Allegion also recently made an equity investment in iDevices. iDevices like Schlage launched the next-generation connected home solution at the Consumer Electronics Show and our partnership will amplify the impact of Schlage Sense on the market. As part of the minority stake in the company Allegion and iDevices entered into a joint technology agreement. Patrick will now walk you through the financial results and I'll be back to update our full year 2015 guidance.
Patrick Shannon: Thanks Dave and good morning everyone. Please go to Slide Number 8. This slide depicts the components of our revenue for both fourth quarter and full year. This is helpful as the impact of pricing in Venezuela and currency headwinds across the business brought quite a bit of noise in the results. If you focus on the organic growth we delivered 7.6% and 5.1% growth for the fourth quarter and full year respectively. Both include 2% of price increase associated with Venezuela, the stronger organic growth reflects improving markets and introduction of new products. Pricing benefits have been mostly driven by Venezuela however we're seeing pricing improvement sequentially and expect to gain improved traction in the first half of 2015 particularly in our U.S. non-residential business. One another things to note is the currency line, we really started to see the impact of a weaker euro in the fourth quarter, adding the impacts of a softer Canadian dollar, Chinese RMB and Australian dollar and you will see a fourth quarter year-over-year impact of a negative 2.4%. Although the strong U.S. dollar will continue to create pressure on the bottom-line, it is important to remember that most of our costs were in the same region with our revenues, which mitigates some of the income pressure. Please go to Slide Number 9. Reported net revenues for the quarter were 573.5 million as mentioned on the previous slide this reflects an increase of 5.5% versus the prior year up 7.6% on an organic basis inclusive of Venezuela pricing. We realized high single-digit growth in the Americas with growth in all segments of the market, U.S. commercial grew low single-digits and residential segments increased mid single-digits. Latin America was up significantly primarily due to incremental price realization in Venezuela to offset inflation. EMEA revenues were down approximately 10% driven by currency headwind. Asia-Pacific revenues were up over 17% due to strong mechanical hardware and the timing of large system integration projects. Adjusted operating income of 106.6 million increased 9% compared to the prior year. Adjusted operating margin of 18.6% reflects an increase of 60 basis points versus the prior year, it's favorable price, volume leverage and productivity more than offset increased investments and inflation. We're extremely pleased with the incremental operating leverage of the business particularly as we continue to make incremental growth investments for new products and channel development in order to accelerate our earnings growth and return on capital. Please go to Slide Number 10. This reflects our EPS reconciliation for the fourth quarter. For the fourth quarter of 2013 reported EPS was $0.12 a share, adjusting for prior year one-time separation and restructuring expenses of $0.04 and $0.44 related to discrete tax items the 2013 reported EPS was $0.60. Operational results increased EPS by $0.13 as pricing, productivity and favorable operating leverage more than offset inflation. The decrease in the adjusted effective tax rate to 26.3% rose $0.07 per share improvement versus the prior year. Other net items added $0.04 primarily due to foreign exchange gains, offset by $0.01 of incremental interest expense. Next, incremental investments related to ongoing growth opportunities, for new product development and channel management as well as corporate initiatives tied to our strategy specific to taxes and M&A were a $0.07 reduction, this results in adjusted fourth quarter 2014 EPS of $0.76 a share. Continuing on, we have a negative $0.39 per share reduction consisting of $0.08 of restructuring and spin related expenses, $0.09 for the Venezuelan devaluation charge to revalue monetary assets, $0.19 for non-cash impairment charge to adjust Venezuelan inventory balances and $0.03 for the extinguishment of capitalized debt cost related to the October amendment and extension of our senior credit facility. After giving effect to these one-time items, you arrive at the fourth quarter 2014 reported EPS of $0.37. Please go to Slide Number 11. Fourth quarter revenues for the Americas region were 390.8 million up 8.4% on an adjusted basis. Removing the impact of Venezuelan price increases, revenues were up 5.4% on an adjusted basis. Higher volumes, Venezuela pricing and the acquisition of Schlage de Colombia in January 2014 offset unfavorable currency movement in Canada. Volumes improved in the non-residential segment by low single-digits led by the strength in mechanical and door businesses. U.S. residential growth in the mid single-digits was driven by strength in the builder and e-commerce segments. Revenues in Venezuela doubled year-over-year led primarily by price. Americas’ adjusted operating income of 100 million was up 13.3% versus the prior year period. Adjusted operating margin for the quarter increased 110 basis points due to favorable volume leverage, price and productivity that more than offset inflation and ongoing investments in new products and channel development. Please go to Slide Number 12. Fourth quarter revenues for the EMEA region were 103.5 million down 10.3% and down 0.3% on an organic basis. Currency headwind continues to be a challenge in the region due to the softening euro and the Russian ruble which impacts Eastern European sales. Market driven weakness in hardware sales in France and Italy were mostly offset by strength in the Interflex and hospitality businesses. EMEA adjusted operating income of 11.6 million was down 13.4% versus the prior year period. Adjusted operating margin for the quarter was 11.2% down 40 basis points primarily due to unfavorable product and market mix. For the full year, adjusted operating profit has more than doubled delivering 210 basis points of improvement. When including the impact of the UK door divestiture, operating margins improved 280 basis points compared to the reported results in 2013. The Company continues to target an operating margin of 10% in 2016 with ongoing cost reduction and productivity initiatives, specific customer and market pricing actions and the elimination of unprofitable business. Please go to Slide Number 13. Fourth quarter revenues for the Asia-Pacific region were 79.2 million up 17%. The revenue growth was driven by mid-teen system integration growth and high-teen mechanical hardware growth. Asia-Pacific adjusted operating income of 9.7 million was up 42.6% versus the prior year. Adjusted operating margin improved 220 basis points due to incremental volume leverage and favorable margins from the FSH acquisition completed in Q2 2014. Please go to Slide Number 14. Available cash flow for 2014 was 207.5 million a decrease of 1.6 million compared to the prior year. The reduction reflects higher capital expenditures of 31.3 million mostly offset by improved working capital. The incremental capital expenditures were associated with new product development, information systems and spin related projects. We continue to operate with a very effective working capital structure and realized a 15% improvement in our cash conversion cycle for the year. Full year available cash flow ended the year at 111% of net earnings from continuing operations exceeding our original goal of 100%. Please go to Slide Number 15. By now the slide will be very familiar as it reflects our commitment to a balanced and flexible capital allocation strategy. We ended the year with gross debt to adjusted-EBITDA of 2.9 well within a normalized target range of 2.75 to 3.25. We continue to fund incremental investments in organic growth for new product development, channel strategies and operational excellence to accelerate core market expansion. We believe these investments will enable the company to grow in an accelerated pace and faster than the broader market. We remain focused on growing our portfolio through acquisitions. Dave already mentioned the iDevices equity investment made earlier this month and we have additional opportunities that are deep in the pipeline process. Over the course of the past year the company has developed an acquisition strategy, built capability and developed an acquisition pipeline. We want to keep our flexibility and our balance sheet optionality available until we vet and conclude on all M&A opportunities. Please go to Slide Number 16. Our full year 2014 effective tax rate was 28.6% and we're forecasting a full year 2015 effective rate of approximately 22% as a result of the tax strategies executed in 2014. We continue to view our structure as a strategic asset of the company where we can leverage to move cash efficiently through the business and achieve a lower effective tax rate to accelerate earnings, as well as cash flow growth. We're still targeting our effective rate to be at or below 20% next year. Please go to Slide Number 17. Before I hand things back to Dave, I want to speak about our Venezuela business and the impact of the devaluation. The recent drop in the price of oil has accelerated a deterioration of the economic conditions in Venezuela and the company concluded that the SICAD II exchange rate was the most appropriate rate to use at the end of the year. This decision had two immediate impacts. First we devalued the bolivar denominated monetary assets resulting in a pre-tax charge of 12.1 million or negative $0.09 per share. Second we took a non-cash before tax inventory impairment charge of 33.3 million or negative $0.19. This impairment charge was recorded in cost of goods sold and reflected the lower of cost and market valuation of the inventory held in Venezuela. As a result of the change in exchange rates there will be significant ongoing translation impact related to the devaluation which will essentially eliminate the reported 2014 results associated with the Venezuela business. This month the Venezuelan government announced changes to an exchange rate system that introduced a new market-based system called the Marginal Currency System or SIMADI. The company is currently evaluating this announcement. Adoption to the SIMADI rate would result in additional charges to re-measure the net monetary assets and impair other assets. I will now hand it back over to Dave for an update of our full year 2015 guidance.
Dave Petratis: Thanks Patrick. Please go to Slide 18. As we look forward to 2015 we will continue to be faced with current fee volatility and a challenging macroeconomic environment. In the Americas we remain cautious but increasingly positive on the U.S. non-residential market recovery. We're still in the early days of a construction rebound and estimate that we are only 75% to 80% of the pre-recession peak. The recovery will continue at a much slower pace as compared to historic cycles as the economy navigates tight labor availability and modest improvements in public spending. This is especially true as it relates to the institutional segment which is approximately 60% of our non-residential revenue. As such we see the non-residential markets growing at low single-digits in 2015. The commercial new construction markets will continue to grow in low to mid single-digit with the institutional markets beginning to improve. The non-residential after market growth will approximate GDP growth and remain in a low single-digit range. The U.S. residential markets will increase mid single-digit driven by both builder and big box segments as we continue our slow and steady recovery out of the recession. Single-family home construction which remains approximately 30% below historic average will continue its recovery, although we don't expect to see normal levels for a few more years. The multi-family segment will continue to remain strong. Consolidating the market outlooks we project organic revenue growth in the Americas of 4% to 5%. Foreign exchange headwinds from Venezuela and Canada will be about 6 to 8 percentage points leaving us with a reported revenue growth of negative 2% to negative 3%. Our outlook in Europe continues to remain subdued driven by weak GDP growth, political uncertainty and high debt. The Southern markets remain soft with relatively slow growth as monetary policy easing helps to support recovery. We project low growth in the non-residential construction markets in Germany and the UK, France and Italy will see slight improvements supported by renovation activity offsetting weak new construction and Eastern Europe growth will struggle given geo-political climates. All-in we project EMEA organic growth to be flat to negative 2%. Taking into account currency headwinds in the region, we expect recorded revenue of negative 9% to negative 11%. The Asia-Pacific market to continued to show mid single-digit growth in both residential and non-residential segments, growth in China continues but at a slower rate than recent history. Australia and New Zealand will continue to improve, while North Asia will be flat driven by soft residential construction. Organic growth in the region is estimated to be 6% to 8%. Total revenue is estimated to be 5% to 7%. All-in, we are projecting organic growth of 3% to 4% for Allegion. Incorporating the currency headwinds, we expect total revenue of negative 3% to negative 4%. Please go to Slide 19. Our 2015 earnings per share range is 2.65 to 2.75 an increase of 12% to 17% compared to 2014 adjusted results, excluding Venezuela. The earnings increase is primarily driven by operational improvements and tax rate charge partially offset by investments in the business, Venezuela devaluation and EMEA currency headwind and non-recurring exchange rate gains and other income. Investments will be predominantly focused on new products and channel of development to meet demands of the electromechanical conversion as well as driving solutions for the underserved repair and replacement market. The full year effective tax rate assumption of the guidance is approximately 22% and our outstanding diluted shares are approximately 97 million. As mentioned previously, the guidance has assumed minimal contribution from Venezuela. And although we don’t typically provide quarterly guidance, it’s important to note that margins early in the year will be under some pressure on a year-over-year basis due to carryover expenditures which were not in place at the beginning of 2014 as well as new investments in 2015. Please go to Slide 20. Let me finish by reiterating that I’m pleased with our 2014 results. We made significant progress in our first year, we delivered solid organic revenue growth, we increased operating margins while investing for future growth, made significant progress on our tax planning strategies, established a foundation for ongoing margin improvement in Europe and continue to achieve a high level of cash conversion performance. We enter 2015 positioned well and we’ll build on our results. We remain focused on our growth pillars, core market expansion, innovation, growth in emerging markets, enterprise excellence and opportunistic acquisitions. And I believe we have the right team in place that will drive long-term growth that will deliver value to shareholder. Now Patrick and I will be happy to take your questions.
Operator: Thank you. [Operator Instructions] Due to time constraints, we ask that you limit yourself to one question and one follow-up. [Operator Instructions] And our first question comes from Charles Clarke of Credit Suisse. Your line is now open.
Charles Clarke: Yes just wondered if you could give a quick update on capital allocation. I think in the prepared remarks you guys have talked about some deals that you were close on, close to getting over the goal line with and then obviously no reduction in share account in the guidance. So if you can just give an update on the capital allocation that’d be great?
Dave Petratis: Yes sure, so as we indicated basically three pillars in capital allocation, the first being organic growth opportunities and as you saw in the guidance, we’re going to continue to invest in the business for things that we feel are aligned with our strategy obviously and it can accelerate our growth faster than the market. I feel pretty good about those particular opportunities and the fully vetted will provide a good return on capital going forward. As we look at the M&A front, I’d say we’ve got a much broader acquisition pipeline certainly than we did a year ago. I feel very confident that you’ll be seeing a step-up in activity here in the short-term, so we’re still vetting a lot of opportunities. I would characterize the delta between say M&A and share distribution would be if we don’t see opportunities to expand our business and product portfolio in M&A front, we would be looking at accelerating shareholder distribution, but right now that’s not what we’re going to be doing. We will be offsetting our dilution associated with management compensation plans. The idea is not to hoard cash on the balance sheet, so to the extent we’re not increasing our M&A activity, you’d be seeing a further step-up in shareholder distributions.
Charles Clarke: And just as a question to the ending leverage, 2.9 times gross debt to adjusted EBITDA, does that adjusted EBITDA -- does that exclude Venezuela or kind of including the Venezuelan markdowns, the leverage would be a little bit higher?
Dave Petratis: Yes so that would be on a reported basis, so including Venezuela, so if you were to kind of take out Venezuela then the ratio would go up a little bit.
Charles Clarke: And then just maybe a housekeeping, you guys are targeting the 95% cash conversion this year versus just a target of 100. Is that due to some timing on payments or…?
Dave Petratis: Yes predominantly, so if you look at this business over the last three years we've averaged ACF as a percentage of continuing operations earnings of around 110%. So I would look at 2015 as a unusual year, we've had some one-time tax payments that we need to make as a result of our tax restructuring activities that took place last year. One-off on a go forward basis 2016 forward, as you know this is a great company in terms of cash flow generation and we should be north of 100% on average going forward.
Operator: Thank you. The next question is from Steven Winoker of Bernstein. Your line is open.
Steven Winoker: Lot to cover here, the first one is on the actual price versus volume growth in the US within the Americas. Could you break that out a little bit more for us in terms of what you actually saw in the quarter?
Patrick Shannon: So again all inclusive if you look at including Venezuela good volume growth.
Steven Winoker: Just the U.S. Patrick.
Patrick Shannon: Just the U.S., bear with me for just a minute, so most of the organic growth there was volume very little price improvement. We were able to get some sequential pricing improvement and leverage from our non-res business from the price increase we put in October last year. Residential not much a price improvement but we did sequentially see some price improvement. So in summary the majority of the increase there was all volume related.
Steven Winoker: And given the other comments you made, is that low single-digit volume then for the U.S., or low single organic?
Patrick Shannon: Yes, low to mid collectively non-res and res, yes.
Steven Winoker: And then on EMEA, maybe talk a little bit more detail from Page 12 about the progress that Lucia is making there. It's a little hard to tell, given all the puts and takes that are going on, what is going on with the plan. I know you will give us more detail at the investor day, but I'm just trying to get a sense for where you really are in terms of that comment -- recovery plan accelerating productivity versus the mix impact that resulted in the lower margin?
Dave Petratis: Well I'll let Patrick give you the some of the financial metrics. But we're on a good track, we doubled the operating income '13 to '14, cost take out -- what we've been extremely aggressive on is prune that business, that was embedded and that pruning is helping us to drive improvement. Our long-term goal 10% OI as we exit the year still stands and move into '16. The end-markets remain difficult.
Patrick Shannon: Yes I would just add Steve ended the year kind of where we had anticipated maybe a little light when we started the year, we did get the 280 basis points improvement we had targeted beginning at around 300. The mix element a little pressure there as the Eastern European sales a little bit softer than what we'd like to see. Whereas Dave indicated still targeting the 10% number by 2016, as I look at 2015 you could assume kind of similar performance in terms of margin improvement year-over-year and a lot of that coming from some of the carryover activities that took place in a restructuring in 2014. Again we're going to take a rifle shot approach on pricing, specific to customers and markets. And then the ongoing productivity and cost containment I think will be primary drivers there.
Steven Winoker: And if I could to sneak one in back to that capital allocation point you made. Patrick, at the last investor day you talked about a willingness to stretch even up to four times leverage for, quote, the right deal or the right opportunities. Are you guys still feeling confident that you would be willing to go there, or is there a reason to be more conservative these days? How are you feeling?
Patrick Shannon: No, very confident to stretch it to four times for the right transaction would not hesitate given the strong cash flow generation of this business and the earnings obviously we'll be acquiring, so that wouldn't be an issue. When we give the range of debt to EBITDA there, I look at that more on a normalized basis it doesn’t mean we can’t be a little bit outside of the balance there, but over a long-term that’s where we’d like to be and how we manage the business.
Dave Petratis: And I can’t reemphasize that again for the right opportunity with and right fit with the company, we will stretch.
Operator: Thank you. And the next question is from Josh Pokrzywinski of Buckingham Research. Your line is open.
Josh Pokrzywinski: I guess not being able to see some of the specific margin parameters or CorpEx for 2015 some of this is a little backed into, but it looks like your incremental margin assumption in the Americans, ex-investment, ex-Venezuela, is pretty low, call it 30 or below by my math. Is there something else going on in that? It sounds like institutional is getting better, price uptake you expect to be better, and clearly you guys had good progress in 2014 on margin expansion even with investment. So I guess first is, is that math right? And then secondly, is there something I am missing in some of the mix dynamics in the ’15 in the Americas?
Dave Petratis: Yes so the margin excluding Venezuela improvement year-over-year is higher than what you indicated, so we’ll have to maybe take it offline and look at your assumptions in terms of the mix component and taking out Venezuela. And we should see incremental pricing improvement, we’re in kind of still a low inflationary environment so there should be some incremental leverage there it would be added to that, volume improvement net of investment, so we should still see some continued improvement in the Americas margin there. And the same is true for the overall company as well as the other regions and businesses of the world.
Josh Pokrzywinski: And then I guess as we get out of 2015 I appreciate you guys spiking out the investments and where those are focused. Of those three buckets that you broke down in the $0.15 to $0.20, what stays, what goes, what gets bigger, what gets smaller from here and among the new products, channel marketing and some of the more systems-oriented spending?
Dave Petratis: Yes so I would say as we look forward to 2016 and beyond sequentially the, incrementally the investments come down okay and the dollars will inherently stay, but incrementally the numbers will come down. So I would be looking at some incremental investment year-over-year, but not to the magnitude of $0.15 to $0.20.
Josh Pokrzywinski: And then just one last one more housekeeping, what are you guys targeting for corporate expense in 2015?
Dave Petratis: So we ended the year as you saw at 44 million, you should be thinking about an additional 10 million or so on top of the 44, so that would give you a quarterly run-rate around 13 million to 14 million. And let me just add the delta there the increase in 2015 versus 2014, 75% predominantly is investment related, IT systems associated with our ERP deployment and we’re going to continue to invest in incremental tax expense to drive our tax rate lower for 2016 and beyond.
Operator: Thank you. And the next question is from Jeff Sprague of Vertical Research Partners. Your line is open.
Jeff Sprague: A couple of other things, just to clarify on the comment on price, it was a little unclear because you mentioned price and then you mentioned deflation. Are you actually talking an improvement in net price as is, or is that kind of a price cost comment you are making there because of some relief on the cost side?
Dave Petratis: So sorry about the confusion, but the comment was there should be a delta improvement price over material inflation.
Jeff Sprague: And that is driven mostly by materials deflation, though, I would take it?
Dave Petratis: Correct.
Jeff Sprague: And then the comment on non-resi pricing, that sounded like it was specifically targeted on pricing. Is there some particular area within U.S. non-res where you see price opportunity, or what is really going on there?
Dave Petratis: We got traction in Q4 on our pricing initiatives and we feel that that will carry into 2015.
Jeff Sprague: And on currency, are there hedge benefits that we should expect coming through below the line as a partial offset to some of the headline translation impact that we see? Or what, if anything, are you doing on hedging?
Dave Petratis: So we do hedge our cash flow exposures, all the known exposures. You’ll see some favorability on what I call transaction exchange, but only minimal amounts. The majority of our cost and revenues are kind of in the region and so there is a natural hedge there, so we don’t have a lot of exposure relative to transactional gains or losses.
Jeff Sprague: And then just finally on the growth spending is there a figure you have in mind or something you could guide us to think about impact on the top line from actions you started taking in ’14 and now ramping up in ’15? Is there a discernible impact on your organic growth in ’15 from these actions and how would you expect that to play out going forward?
Dave Petratis: I would like to maybe reserve that for midyear. We made significant investments in '14 the NDX would be a good example of that, those are going on the shelf of our wholesalers and I would like to see the actual pull through. I would say new products should help us grow as those get into the market on both the residential and non-residential. Second is a longer term investment is in our channel development and this is where we think in the light commercial repair and replacement that we’re getting less than our share, so I am investing and we should be able to see traction as we move through 2015.
Operator: Thank you. The next question is from David MacGregor of Longbow Research. Your line is open.
David MacGregor: David, you talked about aggressively pruning bad businesses in Europe. I wonder if you could just go back and maybe dig in a little further there for us and give us a sense of what you have still on the books there that would be unprofitable business. What would that represent in terms of revenues and what would be the loss or the burden to the P&L right now?
Dave Petratis: So if we said our mechanical side is 300 million it’s 5% to 10% of that top-line.
David MacGregor: And can you give us a sense of what it means at the operating line?
Dave Petratis: So, first of all when we made the comment pruning bad business, it's not surely a business it's sale through to particular distributors or customers and that type of thing. So it’s normally at a margin lower than what we realized for the full year this year, so call it basically a breakeven type of scenario. And would be baked in to our plan to get 10%, some of those are OEM commitments that you just don’t get out of overnight.
David MacGregor: And then I guess on the U.S. business you talk about organic revenue growth of 3% to 4%. You talk about slow and steady improvement in the US non-res construction business. In your 2015 guidance what are you assuming for non-res remodel growth? I wonder if you could just remind us again what the mix percentages are for new versus remodel in your non-res business.
Dave Petratis: So we define the new construction in the commercial as where square footage is added. And so we think of that R&R it's 50% 55% of our top-line. As we think about that growth we see activity picking up over the next three years in that institutional new construction phase that will help us, but specifics in terms of that elements of growth don't have it at the top of my mind.
David MacGregor: And then just a big picture question, I guess you have talked in the past about trying to grow your spec writing capacity. I guess I just wanted to check in with you and see if you are where you need to be at this point or where you may still have some work to do?
Dave Petratis: We're strengthening our spec writing capability with tools that we believe that we're the leader in the market in terms of spec writing, so generally pretty comfortable with that. I think some of our competitors potentially are envious of our position, but our investments along that line are more in configuration tools that help us to be more efficient at serving that construction market.
David MacGregor: Are there still feet on the street that you need to add, or are you satisfied with where you are there?
Dave Petratis: We're satisfied our investments will be in the management of the channel, making sure that our through stock businesses in the local markets are meeting the expectations of a market leader.
Operator: Thank you. The next question is from Jeff Kessler of Imperial Capital. Your line is open.
Jeff Kessler: With regard to the partnership with iDevices, we actually spent a long time with them at CES. Given iDevices close tie to Apple and home automation, what type of lock and non-lock wireless solutions could we expect from Allegion from this during 2015-2016? You don't have to give me the exact product, obviously, but the types of things you are going to be doing?
Dave Petratis: Number one our Schlage Sense that will come out later in the year, well positioned to line up and serve that market. A couple of things as we thought about iDevices they've got some history working with Apple, we think we can learn from that. We think they can also benefit from some of our supply expertise. And then collaboratively sharing technology in this Internet-of-things if you would have noticed Jeff iDevices are coming out with some electrical switching, and it's indicative of this collaborative capability that we think is important to our core lock business. I think the other thing that you may have picked up at the Consumer Electronics Show was our partnering with Honeywell, Chamberlain, iDevices and others, we really believe that our products have to operate in a community of technologies and it will help us refine those roadmaps.
Jeff Kessler: With regard to your development of your channel, you have been talking about a bifurcated area here. One, that you are trying to build or wait for pent-up demand coming out of the institutional market where you have been negotiating deals for some time now. Number two, developing a channel -- better channel capacity for the small business area. Can you talk about number one, because these are both areas where you have been under capacity in terms of number one, revenues in the institutional area? How are you developing the channel to pull that through? And number two, on the small business area, how are you developing the channel to pull that through?
Dave Petratis: So and what we call the light commercial R&R we size that market let’s say $1.4 billion to $1.6 billion and we believe we’ve got a high single-digit market share and compare that to the presence that we have on new construction. It’s apparent to us that we have to develop stronger channel policies, inventory requirement in the local market and work with our channel partners to get more of that through stock business to compliment what’s already going through on a new construction basis. I like to think about it as we’re flexing our muscle we should be getting more of that through stock in places like Miami or the Washington DC area. We’re putting in the systems and processes to be able to get our share of that market which we think is naturally ours.
Jeff Kessler: Does that also include working with distributors?
Dave Petratis: Yes sir.
Jeff Kessler: Okay.
Dave Petratis: And potentially changing our lineup of distributors, I feel one of the strengths of Allegion when we win a major hospital job and we run that through wholesale distribution that allows us to require the stocking of inventory performance on small project jobs that will help us grow.
Jeff Kessler: And also just to follow-up on that, my institutional question?
Dave Petratis: Yes please. I may restate your institutional question please.
Jeff Kessler: The institutional question, again just similar question in that there has been some pent-up demand in institutional business. It hasn't come through yet. You've been talking about negotiation now for probably about six months. Are we at a point now at which you are more positive for 2015 or 2016? Obviously the turnaround time on these negotiations are quite long, but that is out there and the question is how far do you think you are into that process?
Dave Petratis: I’m more positive on the improvement in institutional spending as we move into ’15 and ’16 and we’ll talk about that at our Investor Day.
Operator: Thank you. And the next last question is from Jeremie Capron of CLSA. Your line is open.
Jeremie Capron: I wanted to go back to earlier questions on pricing. Could you talk about what you are seeing in the marketplace at this point and what are your expectations in 2015 in terms of potential price gains?
Dave Petratis: So we had price increase announcements in the second half specifically around our commercial businesses in the Americas we felt we picked up traction in specifically late Q3 and Q4 and those will carry in. We still feel that it’s a positive price environment it’s going to be 1%-2% as we move through 2015. We think Europe will be difficult.
Jeremie Capron: So within your overall 3% to 4% organic growth guide for 2015 you have more than one point of price gains in there?
Dave Petratis: No, it’s a little bit under 1% if you look at it across the globe, Americas specifically which is the lion share obviously a little bit under 1%.
Jeremie Capron: And on the material cost side of things, metal prices are obviously coming down. Can you talk about what you are seeing and how you expect commodity prices to affect your cost base in 2015?
Dave Petratis: Yes so if you look at our commodities the important ones would be steel, brass, zinc and aluminum. Steel you kind of look at the spot rate today relative to the average in 2014 I think very consistent. Brass which is a big spend for us is down so that would be beneficial, aluminum and zinc flat to little bit up. So collectively right now on basis of the spot rates, I would say kind of the same as 2014. We do hedge commodities in terms of supplier lock contracts, so it’s not a financial hedge or instrument, so any further decrease in the spot rates would kind of come into our results over an extended period of time.
Jeremie Capron: And maybe lastly on CapEx and R&D spend, obviously a significant step up in 2014 compared to previous years. What should we expect in 2015 in terms of CapEx intensity, I know you are running at about was it 2% to 2.5% of sales. Are we seeing more increases going forward and then similarly if you could comment around R&D dollar spend?
Dave Petratis: So on the CapEx side you are right there was a big step up in 2015, 10 million of that 50 million in total spend, related to spin-related projects IT specific on a more normalized basis we're looking at 40 million per year which is our plan for 2015. And that would include IT spend associated with our ERP system, maintenance and NPD kind of programs, productivity et cetera. So I look at capital 40 million kind of a normalized level. One thing to keep in mind is this business and we get a recovery in the non-res area, we do not have significant capacity constraints that would require additional incremental capital expenditure. So feel pretty good that we can manage it at 40 million. In terms of R&D we stepped it up in '14, we're generally holding at that level into '15. If we see the opportunities are out there we'll invest but we'll inform you of that.
Jeff Kessler: What about the effective tax rate? It looks like we are looking at a lower effective tax rate in 2015 than what you guys had in mind just a few months ago? Where do you think we ultimately settle say in 2016 or 2017?
Dave Petratis: So I think aspirationally we've said aspirationally less than 20, if you go back 15 months ago I have got to reemphasize we didn’t have a tax department. We've invested here and aggressively it's part of our corporate cost step up and it's delivered a good return. But we think long-term high-teens aspirationally could be possible.
Operator: Thank you. There are no further questions at this time. I will turn the call back over to Tom for closing remarks.
Tom Martineau: Yes, and we just want to say thank you and appreciate everybody joining today's call and have a very safe day.